Operator: Good morning. And welcome to the Blue Apron Holdings Second Quarter 2023 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. As a reminder, this call is being recorded today, Wednesday, August 9, 2023, for replay purposes. A slide presentation has been created to accompany today’s remarks and can be accessed on the Blue Apron Investor Relations website. [Operator Instructions] On this morning’s call, we have Linda Findley, President and Chief Executive Officer of Blue Apron; and Mitch Cohen, Interim Chief Financial Officer. Before handing the call over to the company, we will review the safe harbor statement. Various statements that the company makes during today’s call about its future expectations, plans and prospects constitute forward-looking statements for the purpose of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by those forward-looking statements as a result of risks and other factors, including those described in the company’s earnings release issued this morning in the company’s SEC filings. In addition, any forward-looking statements represent the company’s views only as of today and should not be relied upon as representing its views as of any subsequent date. The company specifically disclaims any obligation to update these statements. During this call, the company will be referring to non-GAAP measures, which are not prepared in accordance with Generally Accepted Accounting Principles. You are encouraged to refer to the earnings release and SEC filings, where it has defined these measures and to review the reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. With that, I would now like to turn the call over to Linda Findley, Blue Apron’s CEO, Linda?
Linda Findley: Good morning, everyone, and thank you for joining us. On the call with me today is Mitch Cohen, Blue Apron’s Interim CFO. We had a very busy second quarter and I am excited to walk you through our work, and more importantly, what it means for Blue Apron going forward. Let me open with two important comments. First, profitability, we had established a clear path to achieve adjusted EBITDA profitability, which we expect to reach starting in the second quarter of 2024. This follows several strategic actions taken to reduce costs, increase marketing efficiency and position the business for long-term sustainable growth. Second, liquidity, our internal model reflects sufficient capital from our operations to achieve our adjusted EBITDA profitability goal and to continue to move the business forward. This is based on aggressive cost reductions and the shift to an asset-light model. Now let me dive into our second quarter 2023 results. We delivered a strong quarter. To set the stage, while the FreshRealm transaction closed in the last month of the quarter, the improvements I will share were before the benefits of the transaction. Let me start with the cash burn reduction. This quarter we implemented additional efficiencies continuing the work we accomplished in the first quarter. As of June 30th, our quarterly cash burn in operating activities improved by approximately $13.2 million compared to the second quarter of 2022, reflecting a 72% year-over-year improvement. This follows the 67% year-over-year quarterly improvement that we reported as of March 31st. The timeframe to reduce cash burn is exceptional and I want to recognize the team’s incredible efforts to deliver these impressive results. While we plan to continue to aggressively manage our cash burn in the second half of the year, we anticipate it will increase slightly in the third quarters and fourth quarters, in line with typical seasonality. Even with this seasonality, the actions we are taking are expected to get us to adjusted EBITDA profitability in Q2 of next year. We do plan to invest slightly in more marketing now that we are seeing payback periods well below a year and the lowest level in eight quarters. I will touch on this more in a bit. Staying with the balance sheet, we are now a debt-free company. With a portion of the proceeds of the transaction, we repaid our remaining senior secured notes in full. This provides us with greater flexibility as we are no longer subject to a minimum liquidity covenant. We now have unrestricted access to all of our cash and have eliminated all the costs associated with the debt. Moving to our goal of adjusted EBITDA profitability, we are ahead of plan. This quarter we significantly reduced our adjusted EBITDA loss by 84% year-over-year and 70% sequentially to a loss of $2.6 million. Our increases in efficiency across the business also drove strong margin improvement. Variable margin was 37.9% in Q2, our strongest margin performance since 2020 and a notable increase from 35.8% in Q1 2023 and 34.7% in Q2 2022. The strong performance was driven by rigorous cost management and productivity improvements implemented prior to the transfer of our operations to FreshRealm. Mitch will discuss how we plan to look at margins moving forward in a bit. In parallel with financial and operational management initiatives, we continue to see record customer engagement metrics. Average order value hit another high at over $75, up approximately 8% versus Q1. Average revenue per customer improved significantly to $397 another record high. Key drivers were a price increase that we implemented in May of 2023, optimization of promotional and marketing spend, and more importantly, strong engagement from our repeat and tenured customers. The value we provide our customers is evidenced by consistent orders per customer, which was 5.3% for the quarter. As I have shared before, the longer a customer is with us, the more they tend to spend over their tenure. Total customers in the 12 months ended June 30, 2023, was 679,000, compared to 687,000 in the equivalent prior year period. Total customers in the second quarter was 267,000, compared to 326,000 in the first quarter of 2023 and 349,000 in the second quarter of 2022. We anticipated this decline in customers as we have deliberately reduced our overall marketing spend. In the second quarter, marketing spend was $9.4 million, a reduction of 36% sequentially and 57% year-over-year. At the start of the year, under the leadership of our new Chief Revenue Officer, we implemented an improved testing program. The goal is that every marketing dollar we invest delivers on our targeted payback period, while also attracting the right customer. With over six months of testing under our belt, we have identified what we believe is the right formula to move to more effectively target the next dollar and all of this is paying off. In Q2, we saw significant improvement in payback periods at levels far less than our one-year target and efficiencies better than Q1. Cost per acquisition also improved by 30%, while conversion rates improved by 25% year-over-year during the second quarter. In addition, our average weekly retention is the strongest it’s been in five quarters, even with the recently implemented price increase. We were able to make consistent and repeatable improvements while continuing to leverage our strong brand. Given our success so far and as we capitalize on our new asset-light model, we are increasing marketing slightly in the second half of the year. We plan to stay within our targeted one-year payback period and expect our investments to come to fruition in 2024. To summarize the second quarter, we now have a stronger balance sheet, no debt and significantly lower cash burn that positions us to meet our goal of adjusted EBITDA profitability in the second quarter of 2024. Now I want to take a moment to discuss our strategic path forward. During our 2022 Investor Day, we laid out our three-year the next core strategy aimed at achieving long-term sustainable growth and reaching profitability. A key component of this strategy focuses on building an ecosystem of partners and relationships that furthers our vision of better living through better food, which now includes FreshRealm as our fulfillment partner. Transferring our operational infrastructure to execute our asset-light strategy allows for efficiency to enhance shareholder value while balancing growth. We retained our full direct-to-consumer business, including all aspects of creating and marketing our delicious recipes along with the data and technology to support that work. Under our asset-light model, we removed our direct role and fulfillment of our meal kit, allowing us to be more agile and focused on new product innovation. The benefits of this shift are clear. First, this model has a significant impact on both fixed and variable costs to drive further efficiency. In selling our production and fulfillment infrastructure, we unburden our fixed cost base within PTG&A. Under the new partnership, we are taking on a fixed PTG&A fee. This fee is lower than our current run rate costs and will decrease further at the beginning of 2024. As we continue to scale our business, we expect to see this structure be more efficient, especially with the removal of a large portion of direct fulfillment overhead costs, such as personnel costs or depreciation and amortization associated with growth. Last month, we also executed our previously announced reductions in corporate headcount to streamline our business to match our asset-light model, resulting in an approximately 20% reduction in positions. These actions will drive approximately $7 million in additional annualized savings. In addition to the other transaction work we have done, we believe that we are on track to achieve the financial and cost savings milestones to receive an additional $4 million in funding from FreshRealm payable to us starting in the fourth quarter. Looking at variable costs, we anticipate improvements as a result of the asset-light model. While Blue Apron retains control of the quality and supplier standards, we believe we can leverage FreshRealm scale in labor, food, packaging and logistics. This should drive variable cost efficiencies in the longer term. Second, through this partnership, we have the ability to introduce new products quickly and efficiently without compromising on quality. Blue Apron was previously limited to the capabilities of its own fulfillment centers. Now we are able to leverage FreshRealm expertise and scale to grow our own product portfolio. Starting in the first half of 2024, we are introducing even more convenient meals on the menu. These new meal prep options will enhance our current offerings while also allowing us to target a new set of time starved health conscious consumers. Third, as we continue to focus on our products, we now have the capacity to identify new revenue enhancing opportunities. We plan to do so by leveraging the strength of our brand, our culinary authority, while taking advantage of their economies of scale. We will share more details as the work progresses. In summary, the team’s ability to realize significant cost savings, improving marketing efficiency and close a complex and strategic deal to transition Blue Apron to an asset-light business model is poised for the future, in my view, remarkable. As I have stated before, it is my belief that the industry is fragmented and is right for consolidation, and as an asset-light business, we can be more opportunistic. As such, we plan to continue to look at strategic opportunities that make sense for the company and its shareholders. I am energized and optimistic. The work we have done over the past two quarters to stabilize the business, including the FreshRealm transaction and position it for growth allows us to reissue guidance for the first time since the second quarter of 2022, which Mitch will touch on shortly. We look forward to speaking with many of you at upcoming conferences this fall. With that, let me turn things over to Mitch to run through our financials.
Mitch Cohen: Thank you, Linda, and good morning, everyone. I will first begin with an update on our balance sheet and liquidity position before diving into the quarter’s performance. Our cash balance at the end of the second quarter was approximately $30 million, as compared to $31.6 million at the end of Q1 2023 and we are now a debt-free company. This reflects a number of factors. First, it’s inclusive of the approximate -- of approximately $23.6 million upfront cash -- net cash proceeds as received from part of the transaction. Second, it reflects the repayment of our remaining senior secured notes inflow, $22.5 million of which were postpaid in the second quarter. This is beneficial for two reasons; one, it removes the restricted covenants previously in place, which allows us to be more flexible with our cash balance moving forward; and two, it eliminates the over $2.5 million of annual interest expense. Our cash balance was not materially impacted by the aftermarket offering launched in February of 2023. We sold a minimal number of shares at the beginning of Q2 with almost $66 million of the $70 million still available as of June 30th. However, as Linda noted, our plan has reaching adjusted EBITDA profitability in Q2 2024 without the need to access the ATM. In addition to the cash proceeds from the transaction and the accelerated debt pay down, you will notice the following changes to our balance sheet as a part of the transaction. First, at the closing of the transaction, we sold and transferred to FreshRealm all inventory related to our meal kits. The remaining $2.3 million in inventories reflect Blue Apron wine and marketplace items. Second, we have a $3.5 million sellers note receivable net of discounts, issued to us by FreshRealm. Not reflected in our balance sheet is the up to $4 million in cash cow consideration payable to us by FreshRealm starting in the fourth quarter if we achieved the cost savings and financial milestones. As Linda mentioned, we have made significant process -- progress towards meeting these financial goals to reach the milestones. Also not reflected in the second quarter balance sheet are the expected annualized cost savings of approximately $7 million, resulting from the July corporate workforce reduction. Our plan reflects significant capital from operations to sufficient capital operations to achieve our adjusted EBITDA profitability goal and can continue to move forward with its business. However, we also believe it’s important to maintain optionality in our access to capital at all times. In reference to Mr. Salzberg in his obligation, with the removal of our debt and the closing of the FreshRealm transaction now behind us, we are able to operate the business independent of those funds to achieve our near-term plans. However, Mr. Salzberg remains obligated to fund the $68.2 million and we are refocused on monetizing some or all of the pledged collateral in an intentional manner to optimize value. We continue to pursue all options available to us to receive the amount of. Recall that these are private company shares, and therefore, the time line to monetize them might take longer than it would with similar public company shares. Turning to the second quarter results. Net revenue was $106.2 million, a decline of 6.1% sequentially and 14.5% year-over-year. The sequential and year-over-year decline was driven primarily by the one-time $10 million bulk sale we fulfilled in the second quarter of 2022, as well as the deliberate reduction in marketing spend that led to reduction in customer count and order volume. Our customer engagement metrics continue to strengthen an average order value reached a historic high of $75.66, up 7.7% sequentially and 12.7% year-over-year due in part to a price increase along with a meaningful reduction in credits and promotional spend. Average revenue per customer climbed to $397, while orders per customer was 5.3%, our highest level since Q2 2021. Turning to expenses, variable margin was 37.9% in the second quarter, a 210 basis sequential increase over Q1 and a year-over-year increase of 320 basis points. The improvement in variable margin was driven by our ongoing efforts to op -- to drive operational efficiencies through continued cost management and productivity improvements. In the second quarter, PTG&A costs were $34.4 million, a 3.6% decrease sequentially and 12.1% decrease over the prior period. As part of the recent corporate workforce reduction, we recorded $400,000 in one-time employee-related expenses, primarily consisting of severance payments in the second quarter. We expect to incur $1.3 million in similar one-time expenses in the third quarter of 2023, substantially all of these expenses will result in cash expenditures. As a result, we expect these headcount reductions to result in additional annualized cost savings of approximately $7 million. Free cash flow was a negative $6.1 million, an improvement of 69% year-over-year. Factoring the funds received from the transaction and the repayment of the -- our outstanding senior secured notes, our sequential net cash -- net balance decreased approximately $1.5 million in the second quarter. Looking to the bottomline, we reported a net loss of $61.9 million for the second quarter compared to $23.3 million in Q2 2022 and $17 million in Q1 of 2023. Excluding the one-time impact of the transaction’s non-cash loss of $48.6 million, net loss for the quarter was $13.3 million. In the second quarter, adjusted EBITDA was a loss of $2.6 million, compared to $16.2 million loss in the second quarter of 2022 and $8.7 million loss in the first quarter of 2023. Our continued focus on driving operational efficiencies through streamlining the cost structure has helped drive three consecutive quarters of reductions in adjusted EBITDA loss. The move to an asset-light model will help decrease in cost and improve our overall margin profile from a variety -- from a variable and fixed cost perspective. Let me briefly touch on some of the changes to our P&L that you will see going forward. For variable costs, with FreshRealm assuming the production fulfillment at the majority of our products and cost of goods sold will include the following components; recipe ingredients costs which would be a per meal cost charge to us by FreshRealm on the inputs and contents of an inclusive of labor; new product initiative product costs; fulfillment costs, which will include fulfillment packaging and shipping costs and inclusive of fulfillment labor; a margin fee charged by FreshRealm; and other which will include some of the reduction in fulfillment items we retain such as wine and market items. We believe we will directly benefit from FreshRealm economies of scale and sourcing and labor costs to drive improved variable margin going forward. As part of the transaction, Blue Apron is eligible to receive up to $17.5 million of volume-based rebates from FreshRealm in 2024 and 2025 based on future meal kit volumes. Certain new product initiatives and achievements of financial targets by us. If earned, these rebates could contribute to a reduction in COGS and an improvement in variable margin beginning in 2024. Moving to our fixed cost. We will maintain our -- most of our previous line items with material changes in two specific areas. One, we were incurring annual baseline PTG&A fees subject to adjustments representing the operating overhead costs passed on to us from FreshRealm. Starting in 2024, the fixed fee will be approximately $10 million sizable reduction to previous run rates of -- by operating our own facilities. Two, depreciation and amortization will be minimal going forward as we will no longer own heavy assets and instead would be primarily expensed to internally developed software. Blue Apron now has a lean fixed cost that can fore -- that can support foreseeable growth and allow us to drive operating leverage. Our plan assumes minimal capital investments going forward. We believe that our ship to an asset-light model will yield significant benefits to our business and we will continue to focus on optimizing our cost structure. The sale of our product and production and fulfillment center operational infrastructure to FreshRealm will positively impact the PTG&A line. And as Linda mentioned, we executed a planned corporate workforce reduction to accommodate our new model. With the closing of the transaction, together with an additional plant streamlining and efforts, we previously identified and will continue to implement, we are now in a position to provide financial guidance for the first time since the second quarter of 2022. Our guidance and targets reflect assumptions about our business, including the anticipated benefit of the shift to an asset-light model, as well as the expected benefits of our expense management initiatives, our ability to create new product initiatives, the ability to generate the volume needed to earn the $17.5 million in rebates, the achievement of certain financial and cost saving milestones to earn up to $4 million of additional cash consideration FreshRealm the realizing of the benefit of the $3.5 million seller note. FreshRealm ability to cost effectively price the production and fulfillment of our meal kits and other products and that we will not experience any unforeseen impacts -- increased impact from macroeconomic trends. By year-end 2023, we expect our net revenue and customer count to be lower year-over-year due to the deliberate acts we have taken to manage marketing spend and efficiency. Specifically, we expect net revenue for the year to be in the range of $410 million to $415 million, adjusted EBITDA loss in the range of $27 million to $23 million. Looking ahead, as we announced in June, Blue Apron expects adjusted EBITDA profitability in the second quarter of 2024. We expect at year-end 2024 to be adjusted EBITDA profitable and to achieve year-over-year revenue growth. We look forward to sharing more with you on our next earnings call. And with that, I will turn things over to the Operator to open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Dan Kurnos with Benchmark. Please go ahead.
Dan Kurnos: Great. Thanks. Good morning. Nice to hear the progress. Linda, can we just talk a little bit in the -- first in the shorter term on your comments around marketing spend. I know we have talked about kind of the toggle between sort of AOV and promotional spend versus customer acquisition and I am assuming there’s probably some noise in the second quarter just due to all of the things that you had going on, the strategic changes that you were making, but you have talked about kind of leaning in a little bit into Q3. So I just want to understand, are we trying to target, again, sort of a smaller core base that spends more or at least for now until some of the new initiatives get ramped or just how should we think about kind of that balance with AOV versus kind of adding new customer?
Linda Findley: Yeah. Thanks so much, Dan, for the question. So you are absolutely right. We are planning on continuing to focus on profitability and that means focusing on profitability and that means focusing on the customers who are going to be -- the best customers for us going forward, making sure that we are creating value for those customers and driving the right balance of promotion versus marketing spend. We are encouraged by the fact that we continue to see those improvements in our marketing spend, which is why we feel confident in a slight lean in marketing at the end of the year to basically prepare us for 2024. As you know, it takes a while for some of those to come to fruition. But we have actually evened out on a pretty reasonable promotional level. So that’s been positive while still being able to drive return on the business from a customer perspective.  So we are -- that’s part of the reason we wanting to make sure that we are guided going forward, because as we have said all along, we are going to be focused on customers or we are going to be focused on profitability and making sure that we do that through the higher customers, not necessarily focusing on large acquisition pushes, but we can lean in with significant efficiency in our marketing based on the testing and learning that we have done over the last six months.
Dan Kurnos: And just -- got it. That’s helpful. And just to kind of piggyback off of the way that Mitch just closed for next year. I mean just revenue growth, like, you have got new initiatives. How do we think about kind of the balance of the growth trajectory from here, like what’s kind of the base -- do we bottom in 2023 in terms of customer count and it grows from here? Does AOV grow is it new revenue lines, like, can you just kind of talk through the puts and takes as we think about the setup for 2024?
Linda Findley: Yeah. You are correct. It does bottom out in 2023 and that is -- that’s the intent and that’s what we are planning to do all along to make sure that we drive towards profitability as we think that is the most important goal is to reach adjusted EBITDA profitability starting in Q2 and full year adjusted EBITDA profitability and revenue growth in 2024. So that is really our primary focus. So you will see it kind of, again, continue to stay muted this year as our guidance indicates, while we gear up for new product launches next year that will combine with our existing product strength and marketing efficiency that we have actually gained to be able to lean into profitable growth in 2024.
Dan Kurnos: And just maybe a housekeeping point on that, like as you launch new product initiatives, given that you can leverage FreshRealm capabilities, like how do we think about either the margin profile or your ability to kind of lean in and support new product launches next year.
Linda Findley: Absolutely. I mean, as you can tell from the comments that we have made and the progress we have made when you look at last year compared to this year, the reduction in cash burn and the significant improvement year-over-year in adjusted EBITDA profitability, you can tell that we are laser focused on margin and that will include the new products that we have launched, making sure that those -- that they meet our margin profile and continue to drive the ability to leverage the FreshRealm infrastructure that is significant and has the ability to produce more types of products than we were able to produce on our own.
Dan Kurnos: All right. Thanks. Super helpful. Nice progress Linda and team. Thank you.
Linda Findley: Thanks so much, Dan.
Operator: [Operator Instructions] Our next question comes from Maria Ripps with Canaccord. Please go ahead.
Unidentified Analyst: Hi. Good morning. This is Matt [ph] on for Maria. Thanks for taking my questions. So Q2 revenue was understandably soft given the heavier quarter for travel activity, lower marketing spend and the one-time bulk comp. But could you maybe just provide some color on what you are seeing in terms of the macro impact on consumer demand for meal kits. And then I just have a quick follow-up.
Linda Findley: Yeah. So, I mean, we are still seeing some cautiousness in the macro environment, but it’s interesting is as we look at our business and the progress we have made in our marketing efficiencies, we are actually seeing very strong repeat purchases. So that 5.3 orders per customer per quarter is quite strong, particularly for Q2, where you start to normally see a bit of a seasonal dip and especially in concert with the pricing change. So we are really actually happy with the fact that even though you are seeing overall still a little bit of muted acquisition when it comes to consumer spending. At least what we are seeing in our business based on some of the changes we have made is very high average order -- orders per customer per quarter, which is that 5.3 great AOV, so willingness to purchase and seeing the value within the business and we are seeing increased retention. So those are all really positive for us, and we see those as positive indicators of the future, even though we are still seeing a little bit of a macro muting when it comes to overall acquisition. All that being said, we did also comment that we are seeing conversions improved by 25% year-over-year. So that is also quite positive for us as well.
Unidentified Analyst: Got it. Thanks. That’s very helpful and kind of answered my second question, which was I was just curious about the customer reaction to recent price increases, but it sounds like it wasn’t -- you didn’t see a major uptick in churn or anything. But could you maybe just also just talk about your capacity for future price increases and how you feel the offering is priced relative to the industry at this point?
Linda Findley: So -- absolutely. We are still priced the same or lower than our competitors in the industry with extremely high quality products. We have maintained our stance on quality, food quality and also recipe quality. So we are very happy with that. What we did see with the pricing change is better-than-expected retention after the pricing change. And again, we are still seeing a little bit of softness in acquisition, but we did see that 25% increase in conversion year-over-year. So that is an indicator. We tend to think about future price increases in terms of value. We want to make sure that we are always staying priced within the correct point for value for the customer. We want to make sure that they feel value from that product going forward. And so we will keep an eye on any sort of pricing changes that might make sense either based on inflationary pressures or not. But our biggest focus is making sure we drive value for customers, and given the fact that we are priced in line or lower than our competitors, we feel that we do that quite well.
Unidentified Analyst: That make sense. Thanks a lot for the color. I will jump back in queue.
Linda Findley: Thank you.
Operator: As we have no further questions, ladies and gentlemen, this will conclude today’s question-and-answer session. I’d like to turn the conference call back over to Linda for any closing comments.
Linda Findley: Thank you everyone for your time today. We really look forward to providing an update on all of our efforts soon, and in the meantime, if you have any additional questions, please don’t hesitate to reach out to us directly. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may all now disconnect.